Operator: Good day, ladies and gentlemen. Welcome to Teekay Tankers' Third Quarter 2017 Earnings Results Conference Call. [Operator Instructions]. As a reminder, this program is being recorded. Now for opening remarks and introductions, I would like to turn the call over to Mr. Kevin Mackay, Teekay Tankers' Chief Executive Officer. Please go ahead, sir.
Ryan Hamilton: Before Kevin begins, I'd like to direct all participants to our website at www.teekaytankers.com, where you'll find a copy of the third quarter 2017 earnings presentation. Kevin will review this presentation during today's conference call. Please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from the results projected by those forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the third quarter 2017 earnings release and earnings presentation available on our website. I will now turn the call over to Kevin to begin.
Kevin Mackay: Thank you, Ryan. Hello, everyone, and thank you very much for joining us today. With me here in Vancouver are Vince Lok, Teekay Tankers' Chief Financial Officer; and Christian Waldegrave, Head of Strategic Research at Teekay Corporation. During today's call, I will be taking you through Teekay Tankers' third quarter 2017 earnings results presentation, which can be found on our website. Beginning with our recent highlights on Slide 3 of the presentation. Teekay Tankers reported an adjusted net loss of $14 million or $0.08 per share in the third quarter of 2017 compared to an adjusted net loss of $7.1 million or $0.04 per share in the second quarter. We generated cash flow from vessel operations of $20.6 million during the quarter compared to $28 million in the previous quarter. Our results were negatively impacted by lower spot tanker rates, which were the lowest seen in several years. In accordance with our dividend policy, Teekay Tankers declared a dividend of $0.03 per share for the third quarter of 2017, representing the minimum quarterly dividend. In relation to the merger with Tanker Investments Ltd., we are excited to announce that Teekay Tankers has received support from its 4 largest shareholders who have voted their shares in favor of the merger. Further, 2 leading independent proxy advisory firms, ISS and Glass Lewis, have recommended that company shareholders vote for the merger, its proposed charter amendment, to permit the merger. I will expand upon this and the information regarding the special meeting of shareholders later on in the presentation. Since August, we entered into agreements to sell 2 1999-built Aframax tankers for aggregate proceeds of approximately $12.7 million. One Aframax tanker delivered this past September, with the other expected to deliver later this month. Lastly, in September this year, Teekay Tankers announced its share repurchase program for the repurchase of up to $45 million of the company's Class A common shares. The program provides the company with another lever to create shareholder value, allowing us to opportunistically take advantage of dislocations in the capital markets when we have excess capital. However, our key priorities remain strengthening our balance sheet by further reducing financial leverage and increasing liquidity. Turning to Slide 4. I'd like to take a moment to review why we are so excited about the proposed merger with Tanker Investments Ltd. First, this combination is consistent with our long-term strategy of increasing shareholder value by investing and operating throughout the tanker cycle. The merger with TIL will better position Teekay Tankers to capitalize on a potential market turnaround through expanded scale and market presence. This combination will create the world's largest publicly listed mid-size tanker company, with a combined fleet of 58 owned tankers operating in key global markets. We anticipate our expanded scale will result in increased triangulation opportunities, driving fleet utilization and improved earnings for the company. Combining with TIL will also modernize our fleet. The addition of TIL's 18 vessels, with an average age of approximately 7 years, will reduce Teekay Tankers' average fleet age from 10 years to 9. This means as market conditions improve, we will have the scale to sell older assets, further strengthening our financial position, while not diminishing our market penetration or customer service capability. Finally, if Teekay Tankers is currently responsible for the commercial and technical management of TIL's fleet, we do anticipate a smooth and seamless integration. Turning to Slide 5. The merger has compelling financial benefits. We expect this transaction to be immediately accretive to earnings per share based on 2016 pro forma results. We are acquiring TIL at a time when tanker prices are at historic lows. In addition, the merger economics remain intact and represent excellent value for Teekay Tankers and its shareholders as the fair market values of each respective fleet have remained relatively constant since our initial announcement. The merger is also expected to significantly strengthen our balance sheet, reducing our financial leverage and increasing total performer liquidity by approximately $90 million to around $190 million. Finally, we anticipate that the combination will generate an estimated $3 million of annual cost savings. In summary, we believe this merger will create significant value for Teekay Tankers' shareholders. Turning to Slide 6. I will discuss some of the specifics in relation to the special meeting of shareholders. As I touched upon earlier, Glass Lewis and ISS have recommended that shareholders vote for the proposed charter amendment to permit the merger with TIL in this special meeting with shareholders scheduled for November 17, 2017. We value all shareholders' votes and strongly encourage those who own Teekay Tankers' Class A common shares to do so. This merger cannot be completed without the approval of at least 50% of all outstanding shares. Therefore, a non-vote is the same as voting against the merger. If you have questions or require any assistance, please contact MacKenzie Partners using the contact information provided in this slide. Turning to Slide 7, we look at recent developments in the crude tanker spot market. Tanker spot rates in the third quarter of 2017 were the lowest in several years. The combination of high fleet growth, OPEC supply cuts and the unwinding of floating storage put downward pressure on rates. This was compounded by normal seasonality with the fourth -- sorry, with the third quarter typically being the weakest quarter of the year for tanker rates. Average spot rates have, however, improved in the early part of the fourth quarter. This is partly due to seasonality as refiners start to increase throughput ahead of the winter demand season as well as some weather delays in the U.S. Gulf seen in early October. There have also been some structural factors behind the recovery, including strong Asian import demand and an increase in long-haul oil movements from the Atlantic to Pacific basins. This is an encouraging development as we head towards the winter months, which is typically the strongest part of the year for spot tanker rates. Turning to Slide 8, we look at some positive developments on the tanker supply side, which we believe will set the stage for tanker market recovery. As shown by the chart on the slide, 2017 will be the peak year for mid-size tanker deliveries, which are set to decline into 2018 and 2019. In addition, there have been a significant uptick in tanker scrapping in recent months, with 11 -- sorry, with 8 million deadweight tons scrapped so far in 2017 compared with 2.5 million tons last year. This increase in scrapping has been driven by a combination of low freight rates, an increase in scrap prices, an upcoming legislation on ballast water and low-sulfur bunker fuels, which are encouraging some owners to scrap rather than put vessels through costly dry docks. We also understand that some newbuilding orders placed earlier this year have been canceled as shipyards have been unable to secure refund guarantees, while many of the newbuild options have also not been taken up. Taken together, we believe that net tanker fleet growth will grow by around 5% in 2017, falling to around 3% in 2018 and 2% in 2019. Turning to Slide 9, I will briefly recap some of the supportive oil market fundamentals for 2018, which we believe will further aid the tanker market recovery. First, global oil demand remains very strong, with the IEA having revised the 2017 oil demand forecast up by around 1/3 over the last year. We believe there could be similar upward revisions for next year given the increasing strength of the global economy. This strong oil demand, coupled with OPEC supply cuts, is leading to a drawdown in global oil inventories. Although this is negative for tanker demand in the short term, it sets the stage for a much more balanced oil market in 2018. We believe that with a more balanced oil market and with the oil prices rising to their highest point in over 2 years, there may be some scope for OPEC to increase production next year, if not by agreement, then potentially via reduced member compliance, which would be positive for tanker demand. Non-OPEC production is expected to grow by 1.3 million barrels per day next year, with most of the increase coming from the U.S. This is positive as the U.S. is developing into a significant exporter of crude oil, recently hitting a record high of around 2 million barrels per day. This is positive for tanker demand across all crude segments as well as for Aframax reverse lightering volumes in the U.S. Gulf. In sum, we are encouraged by recent developments on both the tanker supply and demand side and believe that these factors will pave the way for tanker market recovery in the coming years. Turning to Slide 10, I will provide an update on spot tanker rates for the fourth quarter of 2017 to date. Based on approximately 50% and 46% of spot revenue days booked, Teekay Tankers' fourth quarter to date Suezmax and Aframax bookings have averaged approximately $12,800 and $13,000 per day respectively. For our LR2 segment, with approximately 41% in spot revenue days booked, fourth quarter to date bookings have averaged approximately $15,100 per day. In closing, we believe that the merger of Teekay Tankers and Tankers Investments is in the best interest of all shareholders as it is immediately accretive to earnings, reduces our average fleet age, reduces our cash breakeven rate and strengthens our balance sheet. We have set the date of the special meeting of shareholders for November 17, 2017, and we encourage all shareholders to vote in favor of increasing the authorized share count, which in turn will allow us to move ahead with the proposed merger. With that, operator, we are now available to take questions.
Operator: [Operator Instructions]. And we'll take our first question from Noah Parquette, JPMorgan.
Noah Parquette: Just going and focusing on the share repurchase program, can you talk a little bit more about under what conditions you guys think you'd find yourselves repurchasing those shares, and maybe more specifically on what kind of targets you guys are aiming for on the deleveraging front?
Kevin Mackay: I'll start and maybe hand it over to you, Vince. Just an overview of the share repurchase program. One of the deliberations that we've had with our board over several quarters in the last year or so has been our capital allocation program. And we felt that going forward, we had various levers in our toolkit, if you will, to manage capital allocation. But with a continuous offering program out there on one side, we felt that it was beneficial to have something on the adjacent side, where when we find dislocations in our share price relative to our value, we can take excess capital that we haven't assigned for other purposes to buy back shares and increase shareholder value that way. So this was really just to flesh out our financial toolkit and give us different options at different points in the cycle. So as it comes to when we actually execute on those, as we do with all other aspects of our business, we take a portfolio approach and look at each point in the cycle, what is the best use of our capital and where can we maximize value for the shareholders. So the share buyback program will be something that the management will be talking through on a continual basis, and we'll be sharing our thoughts and getting guidance from our board in terms of at which point in the cycle we -- we decide to use it.
Vincent Lok: And just to build further on that and to answer your question about balance sheet strength, obviously, one of the key benefits of the TIL merger is getting us a bigger balance sheet and a stronger balance sheet as well as stronger liquidity position. I think we've been very consistent in saying that one of our goals is to continue to delever the balance sheet, and that's something we want to continue to do even post-merger, and you've seen that in terms of also in some of the asset sales of older vessels. So as Kevin said, it is -- the share buyback program is another capital allocation tool that we can use to create value, so when we do have excess capital, we do need to look at whether investing in additional vessels versus buying back our stock, which one is going to create the most shareholder value.
Noah Parquette: Okay. And then shifting gears for your lightering business, can you talk about -- was it affected at all by the hurricane in -- in the quarter? And how is it looking so far this quarter?
Kevin Mackay: Yes, I mean, obviously, Hurricane Harvey was very disruptive to the logistics supply chain within the U.S. Gulf, both on an import basis and an export basis. Whether that was lighterings or reverse lighterings or voyages, all schedules and plans were dramatically altered. But given our scale and our access to our pool vessels, we were able to manage through it without any major impact. It did increase demand in the short term as dislocated vessels weren't able to get into port and subsequently drove higher demand. So there was a positive that came out of it. And I think as we look through the rest of the fourth quarter, we are seeing an increase in export volume from the Gulf, which is positive for both our reverse lightering business but also our Aframax and Suezmax business, which is taking cargoes directly from port across the Atlantic to European buyers. So we're seeing the positives on both sides of our business.
Noah Parquette: Okay. And then just really quickly, assuming the merger is -- you know, the vote goes okay, do you expect it to close by the end of the year?
Vincent Lok: Yes, as Kevin said, the meeting date is November 17. And if the vote is approved, then we are targeting to close the transaction probably, I would say, end of November, early December, in that time frame.
Kevin Mackay: And just add to that, given the fact, that I mentioned it in my comments, the fact that we commercially and technically manage these vessels already means that the close and the integration is going to be smooth and seamless really.
Operator: [Operator Instructions]. There appear to be no further questions. Mr. Mackay, I'll hand things back for any additional or closing remarks.
Kevin Mackay: Thank you. We encourage all shareholders to vote prior to November 17. And we look forward to speaking with you next quarter. Thank you.
Operator: Ladies and gentlemen, that does conclude today's conference. We would like to thank you all for your participation. You may now disconnect.